Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Magna International, Inc. First Quarter 2018 Results Call. During the presentation, all participants will be in a listen-only mode and afterwards, we will conduct a question-and-answer session. As a reminder, this conference is being recorded, Thursday, May 10, 2018. And now, I would like to turn the conference over to Louis Tonelli, Vice President, Investor Relations. Please go ahead.
Louis B. Tonelli - Magna International, Inc.: Thank you. Hello, everyone, and welcome to our first quarter 2018 conference call. We'll have formal comments today from Don Walker, Chief Executive Officer; and Vince Galifi, Chief Financial Officer. Also joining us today are Swamy Kotagiri, Chief Technology Officer, as well as Eric Goldstein and Jim Floros from the IR team. Yesterday, our board of directors met and approved our financial results for the first quarter ended March 31, 2018. We issued a press release this morning for the quarter. You'll find the press release, today's conference call webcast, a slide presentation to go along with the call, and our updated quarterly financial review, all in the Investor Relations section of our website at www.magna.com. Before we get started, just as a reminder, the discussion today may contain forward-looking information or forward-looking statements within the meaning of applicable securities legislation. Such statements involve certain risks, assumptions, and uncertainties, which may cause the company's actual or future results and performance to be materially different from those expressed or implied in these statements. Please refer to today's press release for a complete description of our Safe Harbor disclaimer. As we review financial information today, please note that all figures discussed are in U.S. dollars, unless otherwise noted. We've included in the appendix reconciliations of certain key financial statement lines for Q1 2018 and Q1 2017, between reported results and results excluding unusual items. Our quarterly earnings discussion today excludes the impact of the unusual items. Lastly, in addition to our new reporting segment, many of you will recall that we have adopted this year a new revenue accounting standard related to tooling and pre-production engineering. Our comparative 2017 figures have been restated to reflect these changes. And now, I'll pass the call over to Don.
Donald J. Walker - Magna International, Inc.: Thanks, Louis. Hi, everyone. We held our annual shareholders meeting this morning in Toronto. For those that did not listen, the meeting was webcast and an archive can be accessed on our website. The key takeaways from our AGM today were Magna is well-positioned, as the pace of change in the automotive industry continues to accelerate for a technology company with leading market position, deep system's knowledge and unique capability to design, engineer, and assemble complete vehicles. We are accelerating innovation across the company. We have a global reach and an entrepreneurial and flexible operating culture. And lastly, we expect continued sales growth outperformance as evidenced by our outlook to 2020. Let's review some of the highlights from the first quarter. This is our first time reporting results based on our four new product segments and each delivered strong results. I'm pleased with our performance with an all-time quarterly records for sales, adjusted EBIT, and diluted earnings per share. We increased our outlook for sales and profits for the year. Equity income increased by 30% from last year's first quarter to $87 million, reflecting strong growth in dual-clutch transmission at GETRAG's joint ventures in Asia. And we returned $221 million to shareholders in the form of share repurchases and dividends, and since the end of the quarter, we repurchased approximately $250 million of our stock. Other highlights for the quarter include continued outgrowth of vehicle production. Magna has recently announced partnership with ride-sharing company Lyft, the launch of the first-ever all-electric Jaguar by our Complete Vehicle segment, a joint venture with BAIC Group in China to support their – sorry, joint development with BAIC Group in China to support their electrification strategy. And we are awarded one of the industry's first contract for solid-state LiDAR by BMW. Once again, we outgrew light-vehicle production in the first quarter, excluding the impact of currency and net acquisitions, our consolidated sales increased by 14% year-over-year, compared to global production, which was essentially unchanged. The year-over-year outperformance were driven by body exterior and structures up 6%, seating up 8% and 173% increase in sales at Complete Vehicles. In March, we announced the multi-year collaboration with Lyft, in which we are jointly funding and developing self-driving systems. In conjunction with the partnership, we invested $200 million in Lyft equity. The partnership is the first-ever between an automotive supplier and a ride-sharing company to jointly develop self-driving technology. We believe the announcement demonstrates how Magna is uniquely positioned for new mobility relative to our peers due to our deep systems knowledge across many product lines, our leadership position in vision-based ADAS, our proven ability to auto-qualify new technologies and lastly, the fact that we're the only part supplier with complete vehicle design, engineering and assembly capabilities. We expect a range of benefits to Magna including the accelerated development of real-world self-driving and ADAS technology and systems, the ability to leverage knowledge gained and intellectual property from the partnership to support all of our customers, and an increased ability to attract top talent. In March, our Complete Vehicle team hosted Jaguar Land Rover at our contract manufacturing facility in Graz, Austria for the introduction of their latest model, the New Jaguar I-PACE. The event marked the start-up production for the brand's first ever battery electric vehicle. Magna Steyr is the only contract manufacturer in the world building vehicles with different propulsion systems in a single plant. The Jaguar I-PACE is a second JLR model that we built and drive. The first, the Jaguar E-PACE went into production in the second half of 2017. Magna and BAIC Group, Beijing Automotive Industry of China recently announced that we will be jointly developing a next-generation smart electric vehicle architecture for the Chinese market. Magna was selected by BAIC due to its innovative and cost-effective solutions throughout its complete vehicle manufacturing and engineering services, as well as its full-scale electronic and electrical architecture in light-weight technologies. We're very proud and excited to be working with BAIC on this project, this is a further step for Magna in vehicle electrification for the Chinese market. China is currently the leading market for electric mobility in the world with approximately 700,000 electrified vehicles sold in 2017. By 2020, the number of all electrical vehicles in China's roads is forecast to reach 5 million. Finally, Magna together with its partner Innoviz Technologies announced we were awarded the contract from BMW to supply a solid-state LiDAR system for upcoming autonomous vehicle platforms. This is one of the first awards in the auto industry for solid-state LiDAR for serial production and demonstrates our ability to auto qualify innovative technologies and create automotive-grade products. Our LiDAR product meets the critical needs of BMW including cost, performance, and size. Magna has been developing and manufacturing ADAS products for automakers for more than 15 years and this award from the BMW builds on our leadership position. With that, I'll turn the call over to Vince.
Vincent J. Galifi - Magna International, Inc.: Thanks, Don, and good afternoon, everyone. Overall, we posted a strong first quarter consolidated results, including all-time record consolidated sales of $10.8 billion, an all-time record for consolidated adjusted EBIT of $875 million, which is up 7% over 2017, an all-time record for net income attributable to Magna of $663 million, up 14% from Q1 of 2017 and adjusted diluted EPS of $1.84, also an all-time record for us, up 20%. We generated free cash flow after capital and other asset spending of $245 million. We returned $221 million to shareholders through share repurchases and dividends. And lastly, we raised our sales and net income outlook for 2018. I'm going to cover each of these in my financial review. Our consolidated sales were an all-time quarterly record of $10.8 billion, an increase of 21% over the first quarter of 2017. We delivered sales growth in each of our operating segments, most notably in our Complete Vehicles segment, which contributed approximately 60% of the increase in sales. The higher sales largely reflect the launch of new programs and a $693 million positive impact from the foreign currency translation, offset by a change in production volumes on other programs. As expected, our adjusted EBIT margin declined, compared to last year. We reported 8.1% in the first quarter of 2018 from 9.2% in the first quarter of 2017. This decline was largely driven by the increase in proportion of sales generated by our Complete Vehicles segment, which operates at margins lower than our consolidated average, as well as higher launch costs at Body Exteriors & Structures. On a year-over-year basis, the growth in our Complete Vehicles segment reduced our adjusted EBIT margin by 80 basis points, while Body Exteriors & Structures had a 50-basis-point impact. Taken together, these two segments more than accounts for the decline in our adjusted EBIT margin. Adjusted EBIT increased 7% to $875 million. Equity income increased $20 million, or 30% year-over-year to $87 million in the first quarter of 2018, largely reflecting contributions on higher sales due to the launch of new programs at GETRAG's joint ventures in Asia, and the $6 million positive impact from foreign currency translation, partially offset by launch and related costs at our GETRAG joint venture in Europe. Excluding equity income, our EBIT margin declined to 7.3% in Q1 2018 from 8.4% in Q1 2017. Our effective tax rate declined to 21.3% from 25.8% a year ago, primarily reflecting the benefits of U.S. tax reform. Net income attributable to Magna was $663 million, compared to $583 million in Q1 2017, mainly reflecting higher EBIT as well as the lower tax rate. Diluted EPS grew 20%, or $0.31 to $1.84 for the quarter, compared to $1.53 last year. In addition to higher net income, the increase reflects a 6% decline in shares outstanding. Now, let's take a look at our new segment. Body Exteriors & Structures sales were $4.6 billion in the first quarter, an 11% increase from $4.2 billion a year ago. The increase in sales reflects new program launches and the strengthening of currencies against the U.S. dollar, partially offset by the impacts of a change in production volumes and other programs and customer price concessions. Excluding the impact of currency, sales increased by 6%. Significant new program launches driving sales in this quarter included the Chevy Equinox and GMC Terrain, as well as the Jeep Compass, Wrangler, and Cherokee. Body Exteriors & Structures' EBIT declined $9 million to $340 million, as margins declined by 100 basis points to 7.4% in the first quarter, compares to 8.4% last year. The decline primarily represents higher launch costs and the unfavorable mix impact of foreign exchange movements, as higher-euro denominated sales has a lower-than-segment average margin, partially offset by productivity improvements at certain facilities and higher scrap steel recovery. Power & Vision sales increased 8% to $3.2 billion, from $3 billion last year. The increase reflects the strengthening of currencies against the U.S. dollar, as well as new program launches offset by the impact of a change in production volumes and other programs and customer price concessions. Excluding the impact of foreign currency translation, sales were essentially unchanged. New program launches positively impacting the sales in the quarter, included the Jeep Wrangler, Buick Enclave, Chevy Traverse, Volkswagen Tiguan, and the Jeep Compass. Power & Vision EBIT rose by $30 million and EBIT margin increased to 11.2%, compared to 11.1% in the first quarter of 2017. This increase in EBIT primarily reflects the favorable settlement associated with the acquisition of GETRAG and an $18 million increase in equity income, offset partially by higher warranty costs of $19 million and favorable commercial settlements last year. Excluding equity income, EBIT margin declined to 8.7% from 8.9%, last year. Seating sales rose by 10% to $1.5 billion from $1.3 billion in the first quarter of last year, reflecting the benefit of new launches and the strengthening of currencies against the U.S. dollar. Excluding the impact of foreign currency translation and the net impact of our divestiture, sales were up by 8%. Significant new launches in the quarter includes Ford Expedition and Lincoln Navigator, Ford Fiesta, Volkswagen Atlas, and in China, the Lynk & Co 01. Seating EBIT rose by $14 million to $130 million for the quarter and the EBIT margin rose by 10 basis point to 8.8% from 8.7% last year. The improvement in EBIT reflects earnings on higher sales, a $4 million increase in foreign currency translation, and higher-equity income, partially offset by higher new facility and commodity costs. Lastly Complete Vehicles sales rose by $1.1 billion to $1.7 billion from last year, representing a 215% increase. The increase largely reflects the ramp in production of the BMW 5 Series and the Jaguar E-PACE, as well as $219 million from foreign currency translation, primarily due to the strengthening of the euro. Excluding foreign currency translation, sales rose by a 173% from last year, as assembly volumes rose fivefold to approximately 41,000 units. Complete Vehicles' EBIT increased by $30 million from last year, reflecting the benefit of higher volumes and foreign currency translation. EBIT margin was unchanged from last year at 1.1%. Let me now review our cash flows and investment activities. During the first quarter of 2018, we generated $577 million in cash from operations; including an investment of $455 million in non-cash operating assets and liabilities, an increase of 26% from last year. In the quarter, investment activities amounted to $357 million, including $243 million in fixed assets and a $114 million increase in investments, other assets and intangibles. Free cash flow increased 29% to $249 million in the first quarter. We returned $221 million to shareholders in the quarter through the repurchase of $103 million of our stock, representing 1.9 million shares, as well as the payment of a $118 million in dividends. Prior to the announcement of the Lyft transaction on March 14, we were preventing from repurchasing our shares. As Don mentioned, since the end of the first quarter, we have repurchased approximately $250 million of our stock. Turning to our outlook, reflecting the strong start to 2018, we have made some changes to what we provided when we reported fourth quarter earnings in February, in terms of light-vehicle production, we're slightly reducing our forecast for North America by about 100,000 units to 17.3 million units and we are increasing European light-vehicle production by about 200,000 units to 22.6 million units for 2018. We raised our outlook for total sales to range of $40.9 billion to $43.1 billion from the $39.3 billion to $41.5 billion previous range, an increase at the midpoint of $1.6 billion. Our new sales range for 2018 represents 12% to 18% increase over 2017. We also increased the sales outlook range for each of our four operating segment. Our consolidated EBIT margin range is unchanged at 7.9% to 8.2%. We increased our outlook for the net income to a range of $2.4 billion to $2.6 billion from the $2.3 billion to $2.5 billion previously. And all other elements of our 2018 outlook are unchanged. Lastly, we now anticipate free cash flow of greater than $2 billion, an increase from our previous expectation of $1.8 billion to $2 billion. In terms of segment margins, Seating was the only segment where we changed the margin expectation for the year, moving to 7.5% to 8% from 7.2% to 7.7% previously. In summary, in Q1, we set all-time quarterly record for sales, EBIT, net income attributable to Magna and EPS. We returned $221 million to shareholders in the quarter, generated $249 million free cash flow, we raised our outlook for sales and net income for the year, and we anticipate free cash flow of greater than $2 billion this year. Thanks for your attention this afternoon. We're happy to answer your questions at this time.
Operator: Thank you. Our first question is from John Murphy with the Bank of America. Please go ahead.
John Murphy - Bank of America Merrill Lynch: Good afternoon, guys. A first question, I mean, we're starting to hear sort of a litany of new programs that are kind of highlighting your technology like the Jaguar I-PACE, the business with NIO, the Lyft partnership, and the BAIC EV smart architecture. I'm just curious as this stuff is starting to roll in, are other folks or other customers sort of ears perking up and realizing the technical capabilities of Magna, and will that potentially lead to sort of an acceleration of your backlog and sales expectations in the coming years?
Donald J. Walker - Magna International, Inc.: Hi, John. I think the customers are pretty aware that the technology we've got, when we have tech shows with them we will show what we've got, I do think the halo effect of the more we win, the more people see that we're winning LiDAR contracts and opening more EVs, they're aware of it, but it also shows that other customers also have confidence especially as Swamy refers to auto-qualifying new technologies, they see somebody else gone through the testing and validation. So, I think that does have a halo effect, so they're aware of it, I would expect that every time we have some new (21:57) it is that they sort of building each other.
John Murphy - Bank of America Merrill Lynch: Okay. And then a second question maybe on a slightly more mundane topic. You know one of your Seating competitors is having a lot of problems on the structures side of the business, structures and mechanisms. I mean you guys are, obviously, fantastic metal formers and theoretically, might be better suited for that. Are there any opportunities in the Seating business for you, particularly around structures and mechanisms to grow share more aggressively or even potentially conquest business?
Donald J. Walker - Magna International, Inc.: Yeah. We're pretty aware of what's going on and Adient's had some problems they talked about and they are good company that they do have a lot of metals capabilities, made some acquisitions. So, I don't really know what's the root of it. We are very good at metals. To the extent that we have a good capability and I'd say better products than our competitors, we will continue to win business and that's why, I think, we keep on seeing our growth in Seating, that's one of the reasons and there are few other reasons as well. I don't think there is any short-term takeover opportunities, but it's human nature, if we are performing well, we've got competitive prices, we do good launches, the customers see that, that's we tend to win more business. So, I can't really comment on what their struggles are, but we are seeing businesses performing well and we will continue – I think we're going to continue to win market share in the industry for lots of reasons.
John Murphy - Bank of America Merrill Lynch: Okay. And then just lastly, on two headwinds. There were pretty heavy launch costs in the quarter. How should we think about those potentially ramping down through the course of the year? And then raw materials, look like they were up about 27% in the quarter. Is there kind of risk or is there some opportunity to maybe pass-through a greater level to customers? Just curious on those two headwinds, which direction you think they're going?
Donald J. Walker - Magna International, Inc.: Yeah, John. I'm just not sure where you got the headwinds as a 37% on commodities that.
John Murphy - Bank of America Merrill Lynch: I'm sorry, it's 27%.
Donald J. Walker - Magna International, Inc.: Yeah, 27%. I guess when I look at quarter-to-quarter – you're looking at Q1 2017 and Q1 2018, I'm assuming?
John Murphy - Bank of America Merrill Lynch: Yeah. The cost of goods, I'm sorry, the material – it's the material. So, it might not be purely raws.
Donald J. Walker - Magna International, Inc.: Yeah. Sorry, I was looking at commodity costs. Sorry. I'm going to answer – commodity costs were essentially flat quarter-over-quarter for us. Cost of sales are going up. The biggest part of that is sales are increasing, right. So, it's going to drive up our cost of sales, but commodity cost was neutral, John.
John Murphy - Bank of America Merrill Lynch: Okay.
Donald J. Walker - Magna International, Inc.: Yeah. In terms of launch cost, we were launching a lot of business this year and we've talked about that in January, in Detroit and how that was going to be a headwind for 2018. And there are a number of launches in particular, in Body Exteriors & Structures group. We got some launches everywhere else. But, seeing the impact of that in that particular segment on margins and as we progress throughout the course of the year and the launches get behind us, we should see the launch cost start to come down. Yeah. The exact timing quarter-to-quarter, I'm not sure, John and it will depend on a number of factors, but certainly by the time we get to the end of the year, we should start to see launch cost start to be reduced.
Vincent J. Galifi - Magna International, Inc.: We are expecting commodity cost to be a slight headwind for the year, by the way.
John Murphy - Bank of America Merrill Lynch: Okay. Great. Thank you very much.
Operator: Our next question is from Rich Kwas with Wells Fargo Securities. Please go ahead.
Rich M. Kwas - Wells Fargo Securities LLC: Hi. Good afternoon, everyone. Just a follow-up on that question, Louis, so commodity cost up year-over-year, is that primarily because of resin?
Louis B. Tonelli - Magna International, Inc.: Yeah. It's resin.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. So, steel is going to be end up being a push more or less?
Louis B. Tonelli - Magna International, Inc.: Yes. Steel is fairly neutral, it's more on the resin side.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. And then gross margin – or the SG&A piece, Louis, the benefit on the SG&A with the recovery from GETRAG in dollars?
Vincent J. Galifi - Magna International, Inc.: Yeah, Rich. We're selling a commercial item on the purchase of that operation from the vendors and we ended up with a settlement. The positive about $25 million in the quarter and you kind of run through the math after taxes and all that just under $0.05 positive in the quarter.
Rich M. Kwas - Wells Fargo Securities LLC: Okay.
Vincent J. Galifi - Magna International, Inc.: So when I started talking about the Power & Vision segment, I had a lot of puts and takes kind of what's going on there from an EBIT perspective. Certainly, the debt settlement was a positive. The other things happening in that group there is that we did have additional warranty costs and we also had, I mean, – every quarter we have settlements with our customers and when you look at last year to this year, overall, we were a net negative in the quarter. So when I kind of look at this various segments and there's a lot of puts and takes, if you take FX out and you take the positive impact of equity, margins, equity income in that group and you're backing out the warranty, the contract settlement and commercial settlement, margins were essentially flat quarter-over-quarter. There is lot of noise, through it all, margins are roughly flat, growth in equity income.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. So, the point is that – the point with that is just that with the settlement there's some offsets to that on the commercial side.
Donald J. Walker - Magna International, Inc.: Yeah, we've been trying hard to disclose that a lot of lagging all the issues and we were able to close them out in the quarter.
Louis B. Tonelli - Magna International, Inc.: Yeah, Rich, that's a fair to way to look at it, we've got some puts and takes and all, and when you add it all up, it ends up being zero.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. And then on gross margin, this was a low point for you going back a few years, should we expect that to get better as the year goes on?
Louis B. Tonelli - Magna International, Inc.: Are you looking at gross margin or operating margin?
Rich M. Kwas - Wells Fargo Securities LLC: Gross, yeah, gross, some of that was mix, right with the vehicle assembly, et cetera, but.
Louis B. Tonelli - Magna International, Inc.: Yeah, I'd say that the biggest impact on gross margin is going to be the significant increase in Magna Steyr sales. If you think about just the quarter alone, in the slide deck that is in our investor representation today, actually shows the impact of the various business units and our margin, just Magna Steyr alone released a reported margins quarter-over-quarter by 0.8%. You know they're making money and they're still launching, they got a bunch of launch costs, they continue to launch the program. The increase in that sales is being a relative larger size of overall Magna sales, as that is just the consolidated margin.
Donald J. Walker - Magna International, Inc.: And the launch cost in fact, the launch is big.
Louis B. Tonelli - Magna International, Inc.: Yeah, I think as you get into 2019 as Magna Steyr works through the ramp up of these programs, we'll see their margin expand, which will have a positive impact on overall Magna's reported margin.
Rich M. Kwas - Wells Fargo Securities LLC: Okay. But gross margin sounds like it should be done down year-over-year for the full year if we're just looking at gross margin?
Louis B. Tonelli - Magna International, Inc.: That's right.
Rich M. Kwas - Wells Fargo Securities LLC: Yeah. Okay. And then last one for me, just first quarter, very strong quarter earnings wise coming off as we look at the base. So, anything we should be thinking about as we model with that on a quarterly basis? Anything you would highlight that investors should be aware of?
Donald J. Walker - Magna International, Inc.: I guess the couple – we talked about some of these things. We talked about launch costs in an earlier question. And I think you're thinking about quarterly color, the mix that Magna Steyr is going to have an impact on consolidated operating margin. As I look at kind of Q3, Q4, I'm seeing sales continue to ramp up in Magna Steyr, so that will be the overall value of this reported margin even though we're making money on the business there. But other than that, I guess, I have one other point, is electrification and autonomy costs. We talked about there being an incremental roughly $100 million of investment in P&L for electrification and autonomy research and development that we're doing. As you know we find the list arrangement (00:30:58) that we've got all the regulatory approvals so that's going to start spending in Q2 forward. But Q1 would have been a little lighter in our Power & Vision segment on electrification and autonomy as you get to Q2, Q3 and Q4, that spending is going to ramp up. So, in total, we're still at $100 million, but that's going to be more back-end loaded than the first half loaded.
Vincent J. Galifi - Magna International, Inc.: And you can see that in the margin in Q1 in Power & Vision, compared to the margin that we're expecting for the full year.
Rich M. Kwas - Wells Fargo Securities LLC: Right. Right. Okay. Thank you. Appreciate it.
Operator: Our next question is from Peter Sklar with BMO Capital Markets. Please proceed.
Peter Sklar - BMO Capital Markets (Canada): You've talked about quite a bit in the past about the ramp that's happening at GETRAG. Could you just bring us up to date on how – where we are in terms of the GETRAG ramps, both in Europe and in China?
Vincent J. Galifi - Magna International, Inc.: Yeah, Peter, you know what – I don't have that data in front of me, but if you go back to maybe Louis got it in front of him. But if you go back to our last call, nothing has changed. We're still on track. We're continuing to ramp up in Asia, we're continuing to ramp up in Europe. So they're right on track.
Donald J. Walker - Magna International, Inc.: And we're ramping down in North America (32:24)
Vincent J. Galifi - Magna International, Inc.: We're ramping down in North America.
Donald J. Walker - Magna International, Inc.: Things are pretty well on track or what we expected, there is some complicated launches going on but things are on track.
Peter Sklar - BMO Capital Markets (Canada): Okay.
Vincent J. Galifi - Magna International, Inc.: And Peter – sorry – if you look at the equity income in our Power & Vision segment, the growth there is substantially additional sales in GETRAG in Asia, contributing to the bottom line results.
Peter Sklar - BMO Capital Markets (Canada): Right. And I forget the European business, is that a joint venture as well – is that equity income or is that consolidated?
Donald J. Walker - Magna International, Inc.: Both. I mean we have a joint venture in Europe with Ford and we have a wholly-owned operations as well.
Peter Sklar - BMO Capital Markets (Canada): Okay. And is Swamy on the line or...?
Donald J. Walker - Magna International, Inc.: Yeah, Swamy is here.
Peter Sklar - BMO Capital Markets (Canada): Yeah. I had a question. So, you've done this deal with Lyft. It sounds like you've invested – you've closed on the $200 million. So maybe can you talk a little bit about like what is going on now with Magna and Lyft? Like what kind of things are you working on, like, are you visiting them and they're visiting you and you're showing each other your R&D? Like how is this partnership unfolding currently?
Seetarama Kotagiri - Magna International, Inc.: So, Peter, one of the key things in the partnership is to look at both existing technologies and roadmap in terms of hardware whether it be sensors, compute devices, and so on. So the discussion is more on the architectural aspect for a self-driving system from both parties. So there is a lot of workshops that have been done and continue to go, significant interaction between the two teams, I would say, working or talking and discussing this architecture concept. I would say that is the key aspect and part of – like you said, visit from our team to theirs and vice versa. But there is also a part of the team that will be co-located in San Francisco with the Lyft team going forward.
Peter Sklar - BMO Capital Markets (Canada): Okay. And now that you got your nose in the door there, Swamy, like, how are you finding their capabilities, like, where are they strong, where is Magna strong?
Seetarama Kotagiri - Magna International, Inc.: I mean, I think one of the reasons why we did this is, their ability in the content (34:49) which is in the ride sharing, ride hailing in the new mobility ecosystem, and in the San Francisco, and we've been impressed by their talent and how they were going through the process. Beyond that, I think we have to be able to work together to make comments in the future.
Peter Sklar - BMO Capital Markets (Canada): Okay. Thank you.
Operator: Our next question is from David Tyerman with Cormark Securities. Please go ahead.
David Tyerman - Cormark Securities, Inc.: Yeah. So good afternoon. My first question is just on the guidance. So is this correct that most of the guidance increase is basically FX here or am I missing something?
Vincent J. Galifi - Magna International, Inc.: Yeah. I think that what you should be thinking about is, when you look at the midpoint of our guidance...
David Tyerman - Cormark Securities, Inc.: Yeah.
Vincent J. Galifi - Magna International, Inc.: ...we're up about $1.6 billion. A $1 billion of that is FX. The rest of it is change in mix and volumes, and so on. So it's growth in production for us.
David Tyerman - Cormark Securities, Inc.: Okay. Okay, that's helpful. Thank you. And then...
Donald J. Walker - Magna International, Inc.: And some of that came through in the first quarter and some will continue beyond the first quarter.
David Tyerman - Cormark Securities, Inc.: Okay. Okay, perfect. And then when I'm thinking about the margin expansion for complete vehicle, Q1's a fair bit below your targets for the year. When do you think that this ramps up, is Q2 again low because you just early in the ramp curve and really back end loaded or is it more linear?
Vincent J. Galifi - Magna International, Inc.: Yeah, Peter – I mean, David, I think, you're going to look that being more second half than the first half...
David Tyerman - Cormark Securities, Inc.: Okay.
Vincent J. Galifi - Magna International, Inc.: (36:38) continue to ramp up in the other (36:42) half of the year.
David Tyerman - Cormark Securities, Inc.: Okay. And then the other question was on BES. I think I'm learning your lingo now. The margin expansion in that area, when should we start to see that come around? It looks like launches are hitting you now, do they keep and they're going to hit you through much of this year, is it really next year or is it really 2020 when that area really starts to ramp on the margin side?
Vincent J. Galifi - Magna International, Inc.: If you look at our BES group this quarter, we ended up at 7.4%. Our guidance which is unchanged for the year has margins of 8.1% to 8.5%.
David Tyerman - Cormark Securities, Inc.: Yeah.
Vincent J. Galifi - Magna International, Inc.: And it's consistent with my earlier comments about launch costs kind of coming off as we get through the year. So we should see margin expand as we move forward past Q1.
David Tyerman - Cormark Securities, Inc.: Okay. And does it just keep going up through the next couple of years? Is that the idea?
Donald J. Walker - Magna International, Inc.: Yeah. We'll progress through 2019 and 2020, yes.
David Tyerman - Cormark Securities, Inc.: Okay. That's all for me. Thanks.
Donald J. Walker - Magna International, Inc.: Thank you.
Operator: Our next question is from Michael Glen with Macquarie. Please go ahead.
Michael Glen - Macquarie Capital Markets Canada Ltd.: Hi. Good afternoon. Just to circle back on the $100 million of incremental in electrification and autonomy expenses. Can you remind us, does that recur in 2019 and 2020?
Vincent J. Galifi - Magna International, Inc.: Yes, it does. So what we've said and what our plans show is that we're going to step up spending in 2018 versus 2017 by $100 million and that $100 million level continues in 2019 and 2020. I mean it's not exactly $100 million, but it'd be a little bit more, a little bit less, but all of that for your timeframe is an additional $300 million, $100 million in each one of the year.
Michael Glen - Macquarie Capital Markets Canada Ltd.: Okay. And then, it ends in 2020 then? Is that the expectation?
Donald J. Walker - Magna International, Inc.: No. I would think it depends on how successful you are, but I think we're going to continue to spend money in this area. Right now, it's an intense time in both the autonomous driving features and electrification. So I guess we'll have to see how much we've got, but I anticipate we're going to continue to spend the money in R&D that we need to continue to grow the business.
Michael Glen - Macquarie Capital Markets Canada Ltd.: Okay.
Vincent J. Galifi - Magna International, Inc.: I think (39:16) when you think about it is that, as you look at 2017 and 2018, we're stepping up spending. Sales are going to come down the road, so as soon as the sales start to come in, you're developing revenue, even if you are maintaining that base of expenditure you get market (39:30) expansion.
Seetarama Kotagiri - Magna International, Inc.: This is in addition to the normal R&D expenditures we were having before, right?
Vincent J. Galifi - Magna International, Inc.: Right.
Seetarama Kotagiri - Magna International, Inc.: In terms of electrification and hybridization.
Michael Glen - Macquarie Capital Markets Canada Ltd.: Okay. And then as we look through the balance of the year and we're looking at Q3 in particular. Last year, Q3 production in North America was down a decent amount due to some inventory. What's getting communicated to you this year? Do you think you're going to see production in Q3 track higher for this year?
Donald J. Walker - Magna International, Inc.: I think it's premature for us to get releases out into Q3, probably to spend on if the market stays where it is, we'll continue, and hard to tell.
Vincent J. Galifi - Magna International, Inc.: If you look at last year Q3, in North America, it was just under 4 million – 3.98 million (40:35) of production, our expectation is that that Q3 would be a little stronger than that this year. More importantly, it's really going to be what type of programs (40:51) so on that are going to impact revenue.
Donald J. Walker - Magna International, Inc.: Keep in mind, some of that is just the capacity that's coming to the market necessarily (40:55) driven by sales capacity (40:56).
Michael Glen - Macquarie Capital Markets Canada Ltd.: Okay. That's all my questions. Thanks a lot.
Donald J. Walker - Magna International, Inc.: Thank you.
Operator: Our next question is from David Tamberrino with Goldman Sachs. Please go ahead.
David Tamberrino - Goldman Sachs & Co. LLC: Great. Thank you. I just wanted to follow up on the relationship with Lyft. I think there was another announcement from one of your competitors kind of partnering with them, vehicles out in Vegas, understanding the nature of these partnerships a little bit different. But how should we interpret the two that have been announced kind of within a month or so of each other and where does that put you from the development standpoint versus a commercial engagement that's already out on the road?
Seetarama Kotagiri - Magna International, Inc.: Hi, David. This is Swamy. I think these two are different topics. We knew about it in their open platform, Lyft had always said that they would have the ability to get people in to be on the platform but with their own technology whoever that is. Between Magna and Lyft, what we're talking about is the joint development and vehicles of the development that's going to be done between Lyft and Magna that we've put in the network that remains unchanged and will not be affected.
David Tamberrino - Goldman Sachs & Co. LLC: Okay. Got it. So just maybe a little bit longer, but the benefit for you is you get a devolvement partner and then you can socialize that to the rest of your ADAS portfolio is the way I should really think about.
Seetarama Kotagiri - Magna International, Inc.: Absolutely. Yes.
David Tamberrino - Goldman Sachs & Co. LLC: And then on that topic, how are your ADAS revenues for the quarter within Power & Vision? How much did it grow year-over-year for the quarter?
Seetarama Kotagiri - Magna International, Inc.: No. I think they're looking at it from a projection for the overall year. We're in track as we're going through. I think we kind of talked about a 12% CAGR in the timeframe of 2018 to 2020. Looking at the activity that we have, we are on track.
David Tamberrino - Goldman Sachs & Co. LLC: Okay. I just – I didn't know if you're seeing any incremental penetration from option take rates from a customer pull-through or not?
Seetarama Kotagiri - Magna International, Inc.: I think it would be premature at this point of time yet to talk about that. There is a lot of activity going on but we can put a pin in it (43:21) yet.
David Tamberrino - Goldman Sachs & Co. LLC: Okay. Those are my questions. Thank you.
Operator: We have a question from Mark Neville with Scotiabank. Please go ahead.
Mark Neville - Scotiabank: All right. Thanks. Good afternoon. Just on the Seating margin, you bumped guidance a bit here this quarter, but I think as you looked out to 2020 you were expecting some degradation in the margin. So I'm just curious if that's – that thinking has changed or it's really just a reflection of what's happening this year?
Vincent J. Galifi - Magna International, Inc.: Yeah, Mark, I think it's a little early for us to really comment on 2020. We haven't gone through a full business plan cycle again. In respect of 2018 and I look at the first quarter and some of the program mix we had at Seating, we did a little better than what we thought. Mix was a little richer (44:20) for us. So that contributed to margin in the quarter of higher than what we thought. We translated that for the balance of the year. As you move on past Q1, our Seating group is going to be stepping up its launch cost, its launch activity, and that will negatively impact margin for the balance of this year.
Mark Neville - Scotiabank: Okay. And just on the CVA margin, again I just – I appreciate the higher launch today (44:51) but I guess I was a little surprised that the margin was flat just given the growth in the sales and the volume. So maybe just some color on when you will start seeing the benefit on the margin line within CVA from the volumes and the sales?
Donald J. Walker - Magna International, Inc.: There's still a lot of activity going on. So a lot of new programs that are launching that we're going to see more in the second half.
Mark Neville - Scotiabank: Yeah.
Donald J. Walker - Magna International, Inc.: If you look at where we were in the first quarter versus where we expect to be for the full year, you can see we expect some stuff (45:19) and that's really coming in the second half.
Mark Neville - Scotiabank: Second half? Okay. And then, on the CVA, we've got goalposts, I guess for sales for 2018 and 2020. But just again, there's a lot of ramp and a lot of activity happening now. But sort of with that growth in the outer years to be relatively linear or is it – it's just another sizable step-up in 2019 and sort of flattens out in 2020?
Donald J. Walker - Magna International, Inc.: I think we have another program that launches late later year and one early next year. And that really will be the end of the launches at least in the near-term. So I think that's where you're going to see a lot of the growth and then it probably flattens out in 2020 (45:59).
Vincent J. Galifi - Magna International, Inc.: Yeah. I think you continue to see growth into 2019 and I'm trying to think – (46:02) I'm not sure where 2020 ends up. But we're going to start production in our new facilities some time in 2019, that's going to carry on in 2020. So we got the full year production in 2020. That will have an impact on revenue.
Mark Neville - Scotiabank: Okay.
Vincent J. Galifi - Magna International, Inc.: We'll refine this as we get down the road and we got better visibility.
Mark Neville - Scotiabank: Sure.
Vincent J. Galifi - Magna International, Inc.: (46:25) production units are going to be.
Mark Neville - Scotiabank: Okay. And then within Power & Vision, I know it's only one quarter, but I think you said you were flat this quarter, but as you're looking out again to 2018, 2019, 2020, I think it was expected to be one of the higher growth segments. Again, I know it's only one quarter, but just maybe when we can see a step-up on the growth.
Donald J. Walker - Magna International, Inc.: I mean we're going to see a step-up in the remainder of the year. I mean if you think about the rate that we're expecting for the year versus where we were in the first quarter, I mean we're going to see a step-up starting in the second quarter.
Mark Neville - Scotiabank: Okay.
Donald J. Walker - Magna International, Inc.: That continues through 2019 and 2020 based upon some of the new launches (47:06).
Mark Neville - Scotiabank: Okay. And maybe – sorry, just one last question, I think it's just a point of clarification, in the prepared remarks you just made a comment about the Q1 buyback, was it that you were prevented from buying ahead of the Lyft announcement, is that what you said?
Vincent J. Galifi - Magna International, Inc.: That's right, that's right. So we were out of the market for a big chunk of the time.
Mark Neville - Scotiabank: Yeah.
Vincent J. Galifi - Magna International, Inc.: Once we announced Lyft then we got back into market, we bought about $100 million from that time to the end of the first quarter. And we had an automatic share plan in place which we press released (47:44) in the quarter, and post-March – the end of March, we're going to buy additional, approximately $250 million worth of stock up until, I guess, May 7.
Mark Neville - Scotiabank: Okay. And what that – the automatic repurchase you have now, so would anything preclude you from or from buying stock or again the – now that that's in place, you just – you can sort of buy it well or it would just buy whenever?
Vincent J. Galifi - Magna International, Inc.: Yeah, Mark. The automatic share plan we put in place typically near the end of the quarter.
Mark Neville - Scotiabank: Okay.
Vincent J. Galifi - Magna International, Inc.: (48:23) so we haven't – we have to think about what we do when we come to the end of June.
Mark Neville - Scotiabank: Okay. Thank you.
Operator: Our next question is from the line of Armintas Sinkevicius with Morgan Stanley. Please go ahead.
Armintas Sinkevicius - Morgan Stanley & Co. LLC: Thank you for taking the question. The announcement with around Waymo adding the I‑PACE to their fleet, any read-throughs to you, whether it's from a volume perspective or the ability to get involved on the active safety autonomous side?
Donald J. Walker - Magna International, Inc.: It's still a little bit too early. I think one thing it certainly – it's a plug (00:49:13) for Jaguar in their new electric vehicles. I think we – to the extent, we really can't talk about it, I don't know that much, but – to tell you the truth, how they're going to do it. But if they apparently go through with this, then those vehicles are going to be coming off the line that we got in Magna Steyr. So that would hopefully push the volumes up, as far as who's going to do the work, the engineering work, the assembly work, it's too early to tell.
Armintas Sinkevicius - Morgan Stanley & Co. LLC: Okay. And then you took up your revenue guidance there, but nothing on the margin side. Just how should we be thinking about that? Any additional headwinds on the margin side through the rest of the year that's keeping margins where they are?
Vincent J. Galifi - Magna International, Inc.: Are you talking about our Complete Vehicles business?
Armintas Sinkevicius - Morgan Stanley & Co. LLC: No, no. Overall, sorry. The consolidated business you took up the revenue guide, but not the margin guide.
Vincent J. Galifi - Magna International, Inc.: You know what, if you look at the midpoint, the raise was about $1.6 billion, a $1 billion of that is FX, so it's going to flow through at – translated rates that's going to have an impact on margins. The only sort of negative impact of the foreign exchange moving up is that our European piece of the business becomes a bigger part of our overall business, so that's actually dilutive to margins, and that's roughly $600 million more of additional business. But I think when you look at the range that we've got in operating margin or EBIT margin for the year, $792 million (50:50), it's – the movements are covered within that range.
Donald J. Walker - Magna International, Inc.: And some of the increase – some of the $600 million is actually increased sales from Complete Vehicles at lower margins and that's putting downward pressure on the overall.
Armintas Sinkevicius - Morgan Stanley & Co. LLC: Okay. That makes sense. And then my last one just, on the metals business the question earlier, if Adient decides to pull back on some of their seat structures particularly where they are a Tier 2 supplier, how does that impact your Seating business, do you expect that to the extent that you had any relationship in sort of the process there that others would fill the gap or just ultimately how are you thinking about Adient sort of scaling down the business coming back to you?
Donald J. Walker - Magna International, Inc.: I'm not sure if I understand. So they'll certainly support the business they've got and they are supplying us in certain products but they'll continue to supply that. To the extent they're having problems and they either raise their prices on future quotes or they're not as motivated to go after that business and that's an opportunity for us because we're a competitor to them in the seat mechanism business and we've got some very good technology. We did a joint venture with a company in China and we're really happy with some of the technology we're seeing over there and we want to apply that not only in China but in other areas. So a lot of these structures are now sourced separately from the seat. So it's an advantage for a seat structure business.
Armintas Sinkevicius - Morgan Stanley & Co. LLC: Okay. That makes sense. Thank you for taking the questions.
Donald J. Walker - Magna International, Inc.: Thank you.
Operator: And we have a question from the line of Richard Hilgert with Morningstar. Please go ahead.
Richard Hilgert - Morningstar, Inc. (Research): Thanks. Good afternoon, everyone.
Donald J. Walker - Magna International, Inc.: Hi there, Richard.
Richard Hilgert - Morningstar, Inc. (Research): On the Complete Vehicle business just taking a look at the depreciation and amortization there, usually, in assembly operations, you've got a pretty large part of the D&A that is unit volume sensitive. But we've got revenues and adjusted EBIT doubling from a year ago, but then the D&A only going up by 30%. As the year goes on and the launches come online and more volume starts to hit, will we start to see that volume sensitive side of D&A catching up the D&A with the increases we see in adjusted EBIT and revenue?
Donald J. Walker - Magna International, Inc.: I don't know off the top of my head, but our business model is slightly different than the OEMs' business model. And if we're taking programs then we'll have volume sensitive pricing if the volumes drop et cetera, et cetera. But I think as they get the volumes up, the D&A would be roughly the same, I would think. And we'll have more pull-though it. I don't have it in front of me.
Vincent J. Galifi - Magna International, Inc.: Yeah. (54:07) D&A is going to be our D&A number with our (54:14) there's any volume sensitive pricing, the revenue comes at the top line and it doesn't impact the amount of D&A (54:22).
Richard Hilgert - Morningstar, Inc. (Research): Okay, guys. Thank you.
Donald J. Walker - Magna International, Inc.: Thank you.
Operator: And we have a question from – follow up from David Tamberrino with Goldman Sachs. Please go ahead.
David Tamberrino - Goldman Sachs & Co. LLC: Thank you. I neglected to ask this earlier. On the LiDAR award with Innoviz, I think this is the first solid-state that's been out there as you've outlined. What's the content per vehicle opportunity and the price point for that product?
Donald J. Walker - Magna International, Inc.: Yeah. I don't think we can mention what the – Swamy, you want to comment? I don't think we can mention what we're selling it for because it's probably confidential and I don't think the customer would want us to. I don't think that's one (55:07).
Seetarama Kotagiri - Magna International, Inc.: Yeah. I agree.
Donald J. Walker - Magna International, Inc.: Yeah. It's needless to say this is a new technology and it's more competitive. So we think as we – if it is auto qualified and people start putting (55:17) vehicles that they're going to be – we believe it's a competitive, technically superior solution. So we would expect to continue to win business but I don't really want to disclose what the value is.
David Tamberrino - Goldman Sachs & Co. LLC: Yeah. And just a somewhat follow-up, I mean what we've heard from different LiDAR manufacturers is kind of the price point OEMs are looking for is in the $100 to $200 range, maybe even below a $100 at scale. And some of that testing LiDAR that's out there on the market is maybe in the couple of thousand dollar range. So are we off base in how we're bucketing those?
Seetarama Kotagiri - Magna International, Inc.: I think it depends a lot on scale and how many units it's going to, right. So it depends on the platform once you look at it. The $100, $200 that you're talking about is probably a figure that everybody is trying to hit. I would say that it's something forward looking. I don't think we can go beyond that in terms of our explanation right now.
David Tamberrino - Goldman Sachs & Co. LLC: Understood. Again, thanks.
Donald J. Walker - Magna International, Inc.: As the volume goes up, these will come down drastically. That's a pretty aggressive target but we've got what we believe is going to be as competitive as anybody who's doing it, it's good a technology and that's – we win (56:30) the first one and I think getting the first contract on a program is really makes easier for other (56:40) people to say, okay, we've gone through all the testing, auto qualifying those things, so other (56:44) people believe in it. So I think it's a lot easier to get new future contracts and hopefully that ramps the volume.
David Tamberrino - Goldman Sachs & Co. LLC: Understood. Thank you, gentlemen.
Donald J. Walker - Magna International, Inc.: Thank you.
Operator: And there are no further questions at this time.
Donald J. Walker - Magna International, Inc.: We'd like to thank everybody for listening in. For those of you who did on our annual meeting and also for listening in the call today, we're off to a good start in 2018, and we've got a lots of positive things went on. I hope, over time, as we spend more time with the investment community with a new segmented reporting, explaining what's going on that we will get our multiple be more reflective of being of an innovation company rather than just an excellent manufacturing company. So hopefully, we can continue to show some of the technologies we're bringing to market and we're being successful. So I appreciate everybody's attention. Thank you.
Operator: Ladies and gentlemen, that does conclude the call for today. We thank you for your participation and ask that you please disconnect your line.